Operator: Good afternoon. My name is Chelsea, and I will be your conference operator today. At this time, I would like to welcome everyone to the KLA Corporation December Quarter 2022 Earnings Conference Call and Webcast. [Operator Instructions] Thank you. 
 And I will now turn the call over to Kevin Kessel, Vice President of Investor Relations and Market Analytics. Sir, please go ahead. 
Kevin Kessel: Thank you, Chelsea, and welcome to our earnings call to discuss the results of the December quarter and our March quarter outlook. 
 Joining me is Rick Wallace, our Chief Executive Officer; and Bren Higgins, our Chief Financial Officer. During this call, we will discuss our results released today after the market close. All materials can be found on our IR website. 
 Today's discussion is presented on a non-GAAP financial basis, unless otherwise specified. Whenever references are made to full year business performance, they are calendar year references. A detailed reconciliation of GAAP to non-GAAP results is in the earnings material posted on our website.
 Our IR website also contains future investor events as well as presentations, corporate governance information and links to our SEC filings, including our most recent annual report and quarterly reports on Forms 10-K and 10-Q.
 Our comments today are subject to risks and uncertainties reflected in the risk factor disclosure in our SEC filings. Any forward-looking statements, including those we make on the call today, are subject to those risks, and KLA cannot guarantee those forward-looking statements will come true. Our actual results may differ significantly from those projected in our forward-looking statements.
 Our CEO, Rick Wallace, will begin the call with some quarterly comments and highlights before discussing the semiconductor industry demand environment. Bren Higgins, our CFO, will conclude with the financial highlights as well as our guidance and outlook. 
 I will now turn the call over to our CEO, Rick Wallace. Rick? 
Richard Wallace: Thanks, Kevin, and thank you all for joining us today. I will summarize KLA's performance in the quarter and summarize calendar 2022. I'll also provide a brief perspective on the overall semiconductor demand environment as well as outline KLA's priorities for 2023. 
 Before we get into details, I want to first acknowledge our global KLA teams who've continued to deliver for customers despite persistent challenges. KLA's results are proof of their commitment. 
 KLA's December quarter have revenue of $2.98 billion, which is above the guidance range, with 27% growth on a year-over-year basis and 10% sequentially. Quarterly non-GAAP net income was $1.05 billion. GAAP EPS was $6.89 and non-GAAP EPS was $7.38, with each finishing above the midpoint of the guidance ranges. 
 Calendar 2022 was another year of record growth, profitability and free cash flow. Specifically, revenue increased 28% in 2022 to $10.5 billion, marking the seventh consecutive year of growth, driven by 36% growth in semiconductor process control systems. 
 KLA also demonstrated strong operating leverage on our revenue growth in 2022 with non-GAAP operating profit up 31% in the year. Non-GAAP incremental operating margin on the revenue growth was 46% for the year. For calendar 2022, free cash flow was up a healthy 18% to a record $3 billion, with free cash flow growth exceeding our 15% long-term target growth rate. 
 Now I'll summarize some specific highlights from the quarter and the year. First, KLA continued to deliver strong relative outperformance versus peers. KLA substantially outperformed overall WFE market growth in 2022. Looking ahead, our leadership in critical markets, such as wafer and reticle inspection, are expected to demonstrate resiliency in a year of contraction in overall WFE demand, setting the stage for another year of relative strength for KLA. Second, our Patterning Systems revenue grew 17% sequentially, which is up 69% on a year-over-year basis. 
 Third, KLA delivered record revenue in the 10th consecutive quarter of sequential growth in our specialty semiconductor process segment, demonstrating resiliency and expanding market opportunity. Fourth, the KLA Services business grew 14% year-over-year in the December quarter and was up 15% on a full year basis. Finally, the December quarter was another exceptional period from a capital returns perspective as we completed the $3 billion accelerated share repurchase component of the $6 billion share repurchase authorization announced last June. 
 KLA December quarter and calendar 2022 results and strong relative performance once again highlight the critical nature of KLA's products and services. Our consistent strong execution against various challenges in the marketplace, both in terms of macroeconomic uncertainties and addressing persistent supply chain challenges highlight the resiliency of the KLA operating model, the dedication of our global teams and our commitment to assertive capital allocation, and delivering long-term value to our stakeholders. 
 Looking at 2023, we know that this will be a year of industry capacity adjustments as customers fine-tune their CapEx plan to address decreased demand in some segments. However, we recognize that the semiconductor industry continues to be positioned for long-term growth, benefiting from the continued advancement of leading-edge technologies, increasing investment in legacy nodes and innovation and growth of new enabling technologies such as advanced packaging. 
 To address this period of adjustment and maintain our commitment to growth, we're emphasizing 3 main priorities for our teams in navigating 2023. First, we will continue to make sure that we support our customers by delivering on our commitments and continuing our levels of investment in R&D. 
 Second, we'll stabilize our spending levels. To strategically navigate the current environment, our focus will be on stabilizing spending while maintaining R&D investments to drive market leadership. Our expectation is for R&D investment to increase in calendar 2023. 
 Third, we'll emphasize development of our workforce. After a strong hiring pace, we're currently at approximately 15,000 employees worldwide. Optimizing training and developing our workforce will help ensure continued strength for the long term. 
 Now Bren will review our December quarter highlights and our outlook. Bren? 
Bren Higgins: Thanks. As Rick just detailed, we delivered strong December quarter and calendar '22 results that demonstrated consistent execution by the global KLA team. While supply chain challenges remain and impact on certain products, we continue to demonstrate resourcefulness and the ability to adapt to meet customer requirements. 
 Quarterly revenue was $2.98 billion, $184 million above the midpoint of guidance and just above the guided range of $2.65 billion to $2.95 billion. Revenue outperformance in the December quarter was driven primarily by KLA's broadband plasma optical pattern wafer inspection and mask inspection systems, resulting from favorable mitigation of identified supply chain risks as we move through the quarter. 
 Non-GAAP diluted EPS was $7.38, above the midpoint of the guided range of $6.30 to $7.70. GAAP diluted EPS was also above the midpoint of guidance at $6.89. Non-GAAP gross margin was 61% and just below the guidance range of 61.5% to 63.5% due to the impact of increasing noncash inventory reserves taken in the quarter as we adjusted our factory output expectations and supply chain commitments to the current outlook, which has weakened at an accelerated pace over the past several months. These reserves were primarily taken against high-volume products and are consistent with shifting customer delivery dates and resulting backlog adjustments in the quarter. 
 Given the diversification of end demand across technology nodes, the extendibility of our product platforms and the expectations for growth in our service business, it is likely that we will realize a benefit from releasing these reserves over time when industry growth resumes. We estimate that these adjustments had a roughly 200-basis-point impact on GAAP and non-GAAP gross margin compared to what would have been assessed in a normalized industry environment. This impact was offset somewhat by higher business volume and by a strong product mix realized in the quarter. 
 Non-GAAP operating expenses were $555 million, slightly above our estimated $550 million for the quarter. Total non-GAAP operating expenses comprised $332 million in R&D and $223 million in SG&A. Non-GAAP operating margin was strong at 42.4%. Quarterly non-GAAP net income was $1.05 billion. GAAP net income was $979 million. Cash flow from operations was $688 million, and free cash flow was $595 million. Breakdown of revenue by reportable segments and end markets and major products and regions can be found within the shareholder letter and slides. 
 Switching to the balance sheet, KLA ended the quarter with $2.9 billion in total cash, cash equivalents and marketable securities, debt of $6.1 billion, a reduction of $200 million in the quarter and a flexible and attractive bond maturity profile supported by strong investment-grade ratings from all 3 agencies. Over the last 12 months, KLA has returned $5.2 billion to shareholders, including $4.5 billion in share repurchases and $689 million in dividends paid.
 Looking ahead to calendar '23, we expect industry spending to slow with the continued expectation for CY '23 WFE demand to be down approximately 20% in the year, down from approximately $94 billion to $95 billion in CY '22 due to increasing global macroeconomic concerns highlighted by our customers in most end markets and widely reported customer CapEx expectations. 
 This WFE estimate reflects our current tops-down assessment of industry demand as follows. In memory, we expect WFE investment to decline by more than the market, with DRAM down more than NAND as memory customers respond to lower consumer demand by cutting production and factory utilizations to bring device supply in line with demand. We expect foundry logic to decline less than the overall market with leading-edge investment declining less than legacy. 
 KLA's unique broad portfolio differentiation and primary value proposition are focused on enabling technology transitions, which our customers continue to invest in regardless of the business environment. While capacity plans could change, technology roadmap investment tends to be more resilient and aligns with KLA's highest value product offerings, where we continue to have supply chain constraints inhibiting our ability to add the additional volumes to meet current demand. This demand adds additional confidence in our business expectations as customers align shipment slots with roadmap requirements. 
 In this industry environment, we will continue to focus on meeting customer requirements; maintaining a high level of investment in R&D to advance our product roadmaps and KLA's market leadership; and align our operating structure with top line expectations, which we expect to be in line or better on a relative basis while delivering strong relative financial performance.
 Our March quarter guidance is as follows. Revenue of $2.35 billion, plus or minus $150 million. Foundry logic is forecasted to be approximately 85%, and memory is expected to be around 15% of semi PC systems revenue. Within memory, DRAM is expected to be about 71% of the segment mix and NAND 29%. We forecast non-GAAP gross margin to be in a range of 60.5% to 62.5% as product and segment mix and lower volumes dilute gross margins versus the '22 baseline in the quarter. Based on current market demand assessments, we do not expect incremental inventory reserve requirements to be a factor in the quarter. 
 For calendar '23, based on our current industry outlook and the impact on overall volume, segment contribution and product mix within the semiconductor process control group, we are modeling gross margins to be greater than 60% with variability quarter-to-quarter attributable to product mix fluctuations. Operating expenses will decline in the March quarter to approximately $545 million.
 For calendar '23, KLA will continue to balance investments in technology, head count and infrastructure to support our long-term growth objectives while managing the business against the expectation of a softening near-term outlook. As a result, we expect quarterly operating expense levels to decline as we move through the balance of the year.
 Other model assumptions for the March quarter include other income and expense net of approximately $62 million and an effective tax rate of approximately 13.5%. Based on our current assessment of geographic revenue and profit expectations, you should continue to use 13.5% as the tax finding rate for calendar '23. 
 Finally, GAAP diluted EPS is expected to be in the range of $4.06 to $5.46 and non-GAAP diluted EPS in a range of $4.52 to $5.92. EPS guidance is based on a fully diluted share count of approximately 139 million shares. 
 In conclusion, though calendar 2023 will be a year of contraction after 3 strong years of growth, we remain confident that the secular trends outlined in our Investor Day last June are driving long-term semiconductor industry demand, and investments in WFE are durable and compelling. Broad-based customer demand across multiple production nodes, increasingly strategic role semiconductors are playing in influencing national industrial policy, a robust design environment at the leading edge and growing semiconductor content across technology nodes remains important trends. 
 These are long-term secular growth drivers for the industry as technology investment and node transitions reflect the value that semiconductors in our industry have in lowering costs for our customers and enabling a broader application universe for semiconductor-based technology across multiple end markets. 
 For KLA, we have a strong historical track record of delivering relative outperformance across industry cycles. To be competitive over the long run, our customers must continue to invest in product roadmaps irrespective of market conditions. Furthermore, KLA services has continued to grow consistently over multiple decades due to the critical nature of KLA products to improving yield learning and driving fab productivity. Our operational execution, coupled with the power of our portfolio strategy, positions us to continue to deliver sustainable relative performance over the next several years.
 We will continue to maintain our R&D investment and our product development roadmaps to enable market share expansion, support customers' technology roadmaps and multiyear fab investment plans. This provides an element of stability that shores up our confidence in the demand outlook for the future. These factors, combined with the KLA operating model that guides our execution, positions us well as we execute our strategic objectives. 
 These objectives fuel our growth, consistent operational excellence and differentiation across the diverse product and services offering. They are also the foundation of our sustained technology leadership, consistent industry-leading financial performance and growing capital returns to shareholders. 
 With that, I'll turn the call back over to Kevin to begin the Q&A. Kevin? 
Kevin Kessel: Thanks, Bren. Chelsea, if you could please give instructions to queue for questions. 
Operator: [Operator Instructions] We'll now take our first question from C.J. Muse with Evercore. 
Christopher Muse: I guess, first question, you talked about expectations to outperform WFE again here in calendar '23. So curious, can you kind of walk through, is that a comment on total revenues? Or just process control? And within that, how should we be thinking about the benefit from backlog/deferred revenues, particularly into the March quarter? Trying to make sure I calculate that right in my model. 
Bren Higgins: C.J., so I'll start, and we'll let Rick chime in if there's more. But I think there are a few factors as you think about KLA's performance generally as we're looking at this year. Obviously, we had a very strong 2022 from a relative point of view. And when we talk about that, we're really talking about the compares against WFE, right? Because the other industries we're in, it's less clear. But given the Semi PC compared to WFE, if you look back historically, we've always done well in down years for WFE because our customers across all our segments pull back on capacity but continue to invest in technology and their technology roadmap. So that's always a positive factor for us. 
 We also see PC intensity moving up because it -- where you generally see more cycling is in memory. And so given the relative PC intensity in logic and foundry, that tends to be something that's good for us as well. Relative to EUV and the dynamics around EUV, radical EUV, our optical pattern inspection business are inflecting. So that gives us incremental, I think, support in terms of growth as we expect both those businesses to be better performers relative to the overall industry, and they're big parts of KLA. 
 China impacts another factor, right? I think if you look at some of the peer companies and some of the export control dynamics as a percent of the total, I think they're impacting some of our peers, perhaps at a little greater degree than KLA. So I think for all those factors, we feel pretty good about our position as we think about just our performance relative to the overall market despite the strength of what we saw in 2022. 
 In terms of Q1 and backlog, I mean the deferred revenue hasn't really changed. We haven't had the issues that others have had in terms of having those -- the deferred revenue bloat up related to some of the supply chain challenges that were well chronicled. So that's fairly normal in terms of how we look at 2023. 
 The backlog did come down. We did some scrubbing related to the China export principally. So we saw some reductions there. We'll see the performance obligations come down about $1 billion overall. So some of that being the effect of the China dynamic, but also we did revenue at a level that was above the new bookings. 
 So not a lot, and there's still a significant amount of backlog, and I think that we'll see that play through as we move forward here. So some of that is tied to -- longer term, to facility projects out beyond 12 months. 45% to 55% of our backlog is for delivery outside the 12-month window. So hopefully, that gives you a little bit of color on the overall and our expectations for '23. 
Richard Wallace: And C.J., maybe just to add one thought. When we laid out our investor plan for '26, at the time we did that, we actually anticipated that there would be a contraction between '22 and '26. We obviously didn't know when, but we felt that, that was going to happen. And our assumptions for that model were based on our percent of WFE, which, as you know, is a combination of the process control intensity in our share.
 We don't see any degradation of that in '23 based on what we see. So we see holding percent of WFE or maybe continuing to make progress. So we still feel pretty good about the trajectory that we laid out in '26. And even though there will be -- these puts and takes based on projects that come and go, I think we feel pretty good, and we don't think '23 will be a problem relative to that longer-term plan. 
Christopher Muse: Very helpful. As my follow-up, you talked about expectations for gross margins north of 60% for the whole year, guided 61.5% for March. I guess this is kind of a 2-part question. I guess how do you see kind of a trough revenue quarter here? If you can answer that. And does that mean that we would be below 60% in the back half of calendar '23? Or you think you can stay north of 60% every quarter for the year? 
Bren Higgins: Yes, I think we could stay above 60%. Look, there could always be quarter-to-quarter dynamics in a given quarter depending on the mix of the business that could drive us beneath that level, but our expectation is that for the year, we'll be better than that overall. 
 I would expect, and as we said over the course of last quarter, that we thought that Q1 was likely the higher quarter in the year and that we would see a drifting down in terms of the run rate. And just to make the math work, you would see a lower second half than the first half. So I think we'll likely stay north of a couple of billion in terms of revenue levels, and we should be able to hold 60% in terms of a run rate from a gross margin point of view. 
Operator: Our next question will come from Joe Quatrochi with Wells Fargo. 
Joseph Quatrochi: I wanted to kind of double-click on your WFE expectations and then how do you think about your model. Are you thinking about first half or second half WFE being relatively balanced for the year and then within your kind of forward revenue expectations for KLA as well? 
Bren Higgins: I think my statements earlier were more -- were KLA-centric, but I don't think we're going to deviate that much from overall WFE. Obviously, that gets into the other businesses and markets that we don't participate in. But generally, I would expect that we're at a higher run rate, a WFE run rate in the first part of this year than we are in the second. So yes, I would think that it's probably down. I don't know how much it's down, but it's probably lower in the second half than the first half. 
Joseph Quatrochi: Got it. And then just kind of maybe bigger picture. But one of your larger customers have talked about a temporary decline in the 7-nanometer utilization rates, but at the same time, also talking about working with their customers to introduce to backfill capacity, introduce new products over the next few years. I guess how do we think about that dynamic in the context of, like, your print check business and the mask shop? 
Richard Wallace: I think that it's much more -- it's baked into our assumptions on the overall reduction in WFE that they're going to be shifting. But I don't think the mix between our products is really going to change for that period if you think about where logic is positioned.
 The other thing, and Bren mentioned, as you know, as EUV gets increasingly adopted, even if it's at lower capacity, we'll see more demand for print check and in reticle in general. So the strength of those businesses, we think, continues on a relative basis, albeit in a declining overall market for some period of time. But those are product lines that right now, we don't -- we're still supply-constrained in terms of our ability to support customer needs on those products. 
Bren Higgins: Yes. If 7-nanometer capacity demand falls off, right, and we don't expect to impact, you would expect to see wafer starts maybe come down at that node, most of the investment we expect to see is at the more advanced nodes. Customers are always looking to optimize the productivity of their capacity. Depending on their views, it could be temporary, in which case they'll idle some of that capacity or run it at a lower utilization rate. 
 And then if in the longer run, they feel like they can move it, they'll try to move it. They do have the technical challenges though that if you were to move from 7 nanometer to 5 nanometer, you have the introduction of EUV from node to node. So the technical challenges of trying to reuse that capacity is much more difficult in this environment than it was, let's say, 10 years ago. 
Operator: Our next question will come from Harlan Sur with JPMorgan. 
Harlan Sur: Your services business last year was strong, right? It was up 15%. Historically, like this segment does not decline during downturns, right? Very stable subscription services contracts, expanding support opportunities, legacy nodes, more software attach, et cetera. But you do have a transactional part of the business, right, tied to manufacturing activity. You've got your EPC services business in there as well and the impact from China export control. So lots of puts and takes. So does the team believe it can grow services revenues this year? 
Bren Higgins: Yes. Yes, you're right. We do have some puts and takes. But if you look at the -- and just for some history, right, if you look at our service business overall as it relates to Semi process control, we've only had 1 down year going back at least the last 20, maybe 25 years, and that was in 2009, where we're facing an extremely challenging macroeconomic environment.
 So you're right that when things slow down, particularly in memory, as an example, customers will scale back in terms of the utilization of their equipment. But we still have a lot of equipment that's coming off of warranty that's going into contract that's been shipped over the last few years. Customers continue to run the installed base typically to support, even if they're not investing in new capability.
 EPC is a little more transactional, and I would expect EPC service to be flatter year-to-year. So I don't think we're going to grow like we did this year, where we grew 15%. But I would expect to see a mid- to high single-digit growth rate in services overall. 
 So I think when you look at our overall business, and we talked about Semi PC growing roughly in line overall with the market, maybe a little better than that. Service is growing mid- to high single digits. And I think EPC systems is going to be somewhere in less than -- have a decline, but a decline that's less than what we're seeing on the WFE side. So -- because we have had a weaker '22, that business is much closer to consumers. And so I think they entered into some of the more challenging environment a little bit sooner, but that's how we're thinking about the overall. 
Richard Wallace: And the other factor, Harlan, when you consider our business, our service is pure service, as we talked about. And also it's really not about consumables. So from the standpoint, their capacity goes down, some of the consumable related service business will go down as a result. Ours, because of the nature of what we do, and often, even if customers are constraining capacity, they're trying to optimize yield, and so that's why I think our service fares pretty well in this kind of environment. 
Harlan Sur: Great. I appreciate that. And strong patterning growth in 2022, I think patterning was up like 50%. Obviously, part of that is being driven by EUV, Deep EUV litho  adoption. And if you look at ASML's results, I mean that continues strong. But I think they're looking for EUV litho systems being signed off, units being signed off this year to grow, like, 40%, both for EUV and Deep EUV. So litho shipments are always sort of a good forward indicator for your business. You've got positive exposure via your wafer, your reticle inspection systems, print check, litho metrology. Is this going to be one of the -- it was clearly a bigger driver last year. Is this going to be one of the bigger drivers of the potential outperformance this year for the team? 
Richard Wallace: Well, I think you're right in some regards. And certainly, when it comes to technology transitions, a lot of what's driving the metrology is related to those tech transitions such as [ data ] all around, right? The work that's going on there is driving it. But there is a part of that business that's tied to capacity. So that's really puts and takes inside of that business. So it's not entirely just related to the tech. 
 And again, when you look at the overall market growth in the different segments, our view of lithography as part of WFE is a little different than what was stated maybe overall because of the deferred revenue component of that. So again, I think KLA is going to do well as we go forward in '23. And the metrology, as it pertains to technology advancement development, will be strong. And both in -- as both metrology and overlay related as companies, our customers try to advance in terms of the tech nodes that have a lot of challenges in those 2 areas. 
Operator: Our next question will come from Vivek Arya with Bank of America. 
Vivek Arya: If you look at the full year WFE view of down 20%, right, in the kind of the mid $70 billion, that view -- that overall view doesn't seem to have changed in the last 3 months. But something else seems to have downshifted in the commentary from you and your peers. I'm just curious if -- Rick or Bren, if you would take a look back in the last 3 months, what has changed from an assumption perspective? Is there a certain part of the market that you are exposed to? Like, has there been any change in the last 3 months? Because the overall number doesn't seem to have changed. 
Bren Higgins: Yes, Vivek, it's a good question. Not much has changed, frankly, in terms of how we've looked at it. Obviously, we had the strength of Q4, which contributes to the marginal weakness in the March quarter, where we had $184 million in incremental revenue above the midpoint in December. And so that clearly came out of the March quarter. So that puts a little bit of pressure on the March quarter. But as we look at the overall year, it generally looks very similar to what we had 3 months ago. So I don't think that much is different. It feels pretty consistent. 
Richard Wallace: Well, I guess, yes, it's kind of similar to what we said. But at the time, it wasn't what a lot of customers were saying yet, right? So at that time, there hadn't been as many announcements for CapEx reductions. So we kind of forecast that, that was going to happen. And so with that kind of the news, it kind of got to this point where we're about where we said. That wasn't the case when we first viewed what was probably going to be a correction in '23. So I would say it's kind of landed where we thought, but there was a fair amount of news in getting there as people said they're going to cut their CapEx. 
Vivek Arya: Got it. And for my follow-up, if I'm hearing you, March is perhaps not the trough quarter for the year that -- I don't know, maybe it's June or September. Any way to gauge what that kind of conceptually, the trough quarter could be? Because when I look at memory, I think it's only, what, 15% of process control in Q1. Is that the trough for memory? Or can it get even lower than that? 
Bren Higgins: Yes, Vivek, I'm not going to guide each of the quarters. It feels today like things are stronger likely in the first half. There are some investments at the very end of the year that could cause the December quarter to be stronger depending on the timing of the fab construction. And so there are some things in -- I'll call it, in Q4 that could swing the quarter-to-quarter one way or the other. But as I said earlier, I think that the second half is likely lower than the first half, and I'll stick with that for now. 
Operator: Our next question will come from Brian Chin with Stifel. 
Brian Chin: Maybe just to double back on the performance obligations. It sounds like -- I could be a little bit off here. But in terms of 12 months RPOs, maybe it's -- maybe ended the December quarter, kind of a $6 billion-ish kind of level. Is that about right? And is there a point in terms of as you draw that down a little bit maybe over the next few to several quarters, is there a point in the year you can kind of point to where you think that number will stabilize? 
Bren Higgins: So we're going to report -- we'll likely file our Q sometime in the next day or so, so you'll have the specifics on it. But your math is about right. It's a little bit higher than that, and we'd still expect 45% to 55% beyond 12 months. And as I said, some of the adjustments that were made were related to some more clarity around China export restrictions, so that was a factor in some of our adjustments. 
 I think as we progress through the year, look, we'll see how the order flow plays out over time. But -- and there's still work to be done in terms of whether we are able to continue to get some licenses that we're still working through in some time. That could have an effect as well. But I don't expect to see -- I think it's going to level off. I don't expect to see it come down all that much. I think it'll level off as we move forward over the course of the year. But look, things can change, and that's the best visibility I have today. 
Brian Chin: Okay. That's fair. And this is probably just digging into a question that was recently asked. But I mean, I think the math might suggest that in the March quarter, the memory system revenue could be something like $250 million, maybe $250 million to $300 million. Maybe that's not trough, but it seems pretty low comparable to recent periods and going back a little ways. And so maybe not trough, but not too far off. Is that kind of an unfair conclusion? 
Bren Higgins: I would have to -- yes, you're right. I mean, it's lower than it has been for a few years. I don't know if it was lower in any given quarter back, let's say, in late 2018 or early 2019 in that time frame. I'd have to look. But it's certainly, as a percent of the total, as low as it's been for some time. 
Operator: Our next question will come from Sidney Ho with Deutsche Bank. 
Sidney Ho: The revenue decline in the March quarter is a little more severe than we kind of expected. I guess, we had thought the revenue is relatively stable, especially given the large backlog you had going into the quarter. Is it just that you were able to pull in some of the revenues into the December quarter? Or was it my assumption that revenue could be stable in the near term was incorrect? 
Bren Higgins: Sidney, it's a great question, and you're absolutely right. It pulled in into the December quarter. When we started the quarter, we had risked out some of the… 
Operator: It seems we have lost speaker connection. Please hold, Ladies and gentlemen, please stand by as we work through this technical difficulty. 
 [Technical Difficulty] 
Kevin Kessel: Sorry, we got cut out there. I know it's in the middle of Bren's answer to Sidney. 
Bren Higgins: So Sidney, let me just start again. Your question was about just the quarter-to-quarter changes. And you're absolutely right that we did see the strength in Q4, and that was a pull forward from the March quarter. 
 As we were looking at the business back in October, we had some systems where we were dealing with some supply chain issues, particularly as it relates to broadband plasma and reticle inspection products. As we work through the quarter, we were able to work with those suppliers, get the parts we needed, run through our qualification processes and complete those tools. 
 Customers, given the demand and balance we've been dealing with for some time on these products, our ability to supply relative to where demand is, we're more than willing to take the products when we had them finished. So when you add the 2 quarters together, the number is basically the same. And our view here is, is we're going to keep the line moving, particularly as it relates to getting these systems out the door to meet customer requirements. And so we finished them, and we shipped them at the end of the quarter. 
Sidney Ho: Okay. That's helpful. Can I ask a second question? You talked about expecting operating expenses to come down throughout the year. What is a good level to think about exiting this calendar year? Talk about maybe what are the areas you see more -- you'll see more of the cuts. And are there any of the actions impacting the gross margin positively as well? 
Bren Higgins: Yes. I think the gross margin guidance we gave earlier stands for itself and reflects some of the actions that we're taking just to deal with. One of the challenges in our factories is we're coming off, which drove our inventory issue that we had this quarter as well as we're coming off pretty high growth expectations in a pretty short period of time. 
 It wasn't that long ago when people were talking about $100 billion of WFE this year and $105 billion or more into '23, so $100 billion in '22. And so there's been about $30 billion plus of WFE that's come out in a relatively short period of time. That had an effect on some of the buying that we've done to drive our supply chain the way that we have. But also, it will have to deal with some of the underutilization of the factory resources that were put in place to support higher volume levels. 
 But the guidance I gave in terms of gross margin reflects those actions and what we plan to do. I would think that by the end of the year, we'll probably be looking at a quarterly run rate based on how we're running the business today. And our expectations for top line, somewhere in that, I'll say, somewhere around $530 million to $535 million. So we'll see it trend down as we go according to each quarter, more or less.
 And depending on how we see the top line evolving, not only as we look at the second half of the year, but as you start to look at '24 and size '24, then we'll come to a determination whether that is appropriate level for us to be at or whether we need to do more or less from there. 
Operator: Our next question will come from Atif Malik with Citi. 
Atif Malik: Sorry. Can you hear me? 
Kevin Kessel: Yes, we can hear you. 
Richard Wallace: Yes, we can hear you. 
Atif Malik: All right. So I have a question on the memory investments. Are you expecting memory CapEx reduction to be broad this year? Or just 1 or 2 memory makers? 
Richard Wallace: I'm expecting it to be pretty broad. And look, it'll vary by customer. And as you know, it's not our strongest market in terms of overall exposure, and we tend to be more focused on the technical part, right, technology roadmaps, less so than capacity. So when we look at it, I think it's pretty broad across all our customers, but varies according to some of them, right? I don't think they're all completely consistent. 
Atif Malik: Got it. And then on China WFE, are you expecting China WFE to be down as much as overall WFE? And what's holding China WFE? Is it the trailing edge investments? And what's driving higher investments on the trailing edge? Is it also end market or maybe higher process control intensity? 
Bren Higgins: Yes. Most of the logic investment has been at the legacy nodes. The other thing that gives us some confidence about '23 that I had mentioned in the earlier answer was the infrastructure investment that's happening in China for mask investment, mask infrastructure and for wafer infrastructure, which is parts of WFE that we're exposed to that some of our peers are.
 So when I look at the overall, inclusive for KLA, inclusive of what we expect in export restriction, which hasn't changed from what we talked about a quarter ago, I think overall, we'll see our business in China likely decline less than the overall WFE. 
Operator: Our next question will come from Tim Arcuri with UBS. 
Timothy Arcuri: There was a question before about EUV, and I'm wondering if you can sort of help give a number in terms of how much of your revenue attaches directly to EUV. There's not a ton of inspection in the litho cell, but you certainly get pulled along with anything that helps sort of horizontal scaling, so. And obviously, EUV does that. So I'm kind of wondering if you can handicap how much of your revenue gets carried along with EUV, and then I had a follow-up. 
Richard Wallace: Yes, Tim, we don't really break it out like that, but I can kind of give it a shot and talk about applications that are related. The main one, the most obvious one is -- that's new is print check, and that is inspection that's directly related to EUV. And I think the other one is, of course, all the reticle stuff. There is some overlay work that also happens relative to some of the matching challenges associated with EUV. 
 So I would say part of each of those markets, and if you had to add them all up, probably 15% to 20% of what we're -- overall, what we're doing in those markets is probably related directly to EUV as opposed to additional scaling. We can do some work and come back on that because it has been growing. The print check part has been driving a lot of the growth that we're seeing in the Gen 5, in particular, work that we're seeing. So that's kind of how I'd handicap it. Bren? 
Bren Higgins: I think that's good. 
Timothy Arcuri: Awesome, Rick. Super helpful. Bren, I had a question for you on process control systems. It seems like the guidance -- well, actually, it's a 2-part question. It seems like the March guidance implies something in the 16.5% range for process control segment -- systems. So I wanted you to confirm that, first of all. 
 And then the real question is the timing of when the process control systems bottoms. Because Lam's bottoming in March, but it seems like if I take low to mid-70s WFE, I assume you don't lose much WFE share. It's kind of hard to see the number not bottoming until you get to 1.1 roughly and you're still at 1.6. So can you sort of answer those for me? 
Bren Higgins: Yes. So your first question about margin, and of course, we don't guide the individual segments. But your assumption of where we are in March is about right. Obviously, we're going to manage the whole company to the top-level numbers that we provided and not necessarily focus on the individual pieces.
 The drop-off that you -- and again, I'm not going to get into each of the quarters from a guidance point of view, but that would imply a fairly low number and then imply that I think that we would drop off more than overall WFE, current WFE expectations, which are down about 20% overall. So it's hard to say how much happens when. But 1.1 feels like a pretty low number. 
Operator: [Operator Instructions] Our next question will come from Krish Sankar with Cowen and Company. 
Sreekrishnan Sankarnarayanan: Rick, my first question is, just to play the devil's advocate. Last quarter, you said the process control argument was site-to-tech roadmap and transition and not as much as to capacity, i.e., less technical. But then, it seems like process control is not immune to the cyclicality. So I'm just kind of curious, like, are these just, like, regular cyclical issue? Is process control actually really driven by tech and not capacity purchases? And long lead time inspection doesn't matter anymore? I'm just kind of curious. Or do you think we get back to trend line in a couple of quarters? Any color on that would be helpful, and then I have a follow-on. 
Richard Wallace: Yes. I mean, I think it is the case, the process control, our business, in particular, is tied both to capacity, but also to tech transitions, and it's certainly not just a tech transition. So I think you'll see the people that are more tied to capacity coming down more in this environment, and people that are tied more to pure tech holding up, and we're kind of in the middle of those 2. Obviously, we have capacity businesses as they relate to, say, metrology that gets added as you add wafer starts. But the work that's going on in reticle and in advanced patterning inspections will be related much more to the Gen 4/Gen 5 stuff, which won't see as much of a decline. 
 So I think we're kind of -- we're more -- we have some more upside to capacity than maybe we did years ago. But we have -- at this point, certainly, a large part of our business is associated with technology transfers, and there's more transfers happening now than there have been in quite a while because the DRAM guys, memory is -- as low as their level of investment is in capacity, as in none, they're still driving technology transitions. And we know there are multiple players now in logic trying to move forward on that. 
 So I'd say it's a balanced approach, which is why we think we'll outperform this year, but not -- we're not going to hold flat relative to that because we definitely had some capacity components. So no, I don't say that we're immune to it, but I think we're less sensitive than pure capacity plays. 
Bren Higgins: Yes, Krish, we did share the market move in 2021, right, from below 6 percentile to the high 7 percentile. And so that clearly was driven by, not just the technology transition that we talked a lot about, but also higher exposure to capacity opportunities. And we talked about this at Investor Day that with scaling with a more robust design environment, less reuse overall and more process flows, that our customers were investing more in capacity from KLA in capacity environments because they're managing each design, test design rules in different ways, different process flows as [ there's ] a change in complexity into the fab. And for all those reasons, we were seeing more adoption of process control in what we'll call a more mature state in the fab. 
 So obviously, that's the part that falls off as customers adjust those capacity plans. But to Rick's point, most of our leverage is in the development area, and it has the fab scales. And so that's why we feel pretty good about dynamics driving our relative performance this year and a continuation of the SAM expansion that we've seen over the last couple of years. 
Sreekrishnan Sankarnarayanan: Got it. Super helpful. And as a quick follow-up, Intel just said a while ago, they extended their depreciation from 5 to 8 years. I'm just kind of curious if that -- does that mean that extending the useful life of semi-cap equipment from 5 to 8 years? And what does that mean for semi -- for process control tools? If you can extend the use of the equipment, does it mean that less purchasing over the longer term? 
Richard Wallace: So the actual useful life of equipment has been going up for years, and we showed that in some of our service work. Part of why our service business is growing is because the life extends well beyond the typical -- the historical view of that. So I don't think that this is anything other than some recognition. There are different practices around the world with how customers choose to amortize or depreciate their equipment. So no, it has no effect. 
 I think we're back to the same conversation about what drives reuse and what drives the next generation has to do with node migration and the ability for customers to -- in the case when they -- what we've seen a lot of now is filling in of the nodes that historically might have been just moved forward. So no, no change in a long-term view based on that decision by one customer. 
Bren Higgins: And you're seeing demand rise in the legacy parts of the market, and that's been good for, not only the service business and extending useful life, but we're also restarting older generation tools. It's allowing us to extend the life of existing platforms that we're selling. Some of our challenges around supply chain has been restarting some of those older generation tools to meet those demands. 
 So I think it's a reflection of, at least, to Rick's point in how it affects equipment overall, reflection of the strength of some of those markets and those opportunities. The good thing is as we are able to sell those tools, the incremental R&D to support those markets is fairly low. And so it creates a nice vector, not only of growth for us, but also growth in our profitability and leverage in our model. 
Kevin Kessel: Chelsea, I believe we're coming close to the bottom of the hour, top of the hour. We probably have time for one more question. 
Operator: Our last question will come from Toshiya Hari with Goldman Sachs. 
Toshiya Hari: I just had a couple of housekeeping questions, if that's okay. The China impact, the export restriction impact in the December quarter and what you're assuming for calendar '23, Bren, sorry if I missed this, but if you can remind us how big the impact could be -- or was in Q4 and how... 
Bren Higgins: Yes. So no change to what we talked about last quarter overall. We talked about a range of $500 million to $900 million across the business in terms of its impact to 2023, and so I don't have an update to that or a different view at this point. We'll see as we go, active engagement. 
Toshiya Hari: Got it. And then on DRAM versus NAND, I think when you were going through the WFE assumption, you mentioned your expectation for DRAM to be down more than NAND. But when you think about your own business, KLA's business, I would expect DRAM to be a little bit more resilient given EUV adoption insertion and the benefits there. Is that the right way to think about your business in calendar '23 on a relative basis? 
Bren Higgins: Yes. Yes. And I would expect our DRAM business to be stronger than our NAND as a percent. Yes. 
Kevin Kessel: Great. Thank you, everybody, for your time. We know it's a really busy day of earnings. We also apologize for the technical difficulties we had during the call, but we will be catching up with all of you here afterwards. So I appreciate the interest and speak soon. 
Operator: Thank you, ladies and gentlemen. This concludes the KLA Corporation December 2022 Earnings Call and Webcast. Please disconnect your line at this time, and have a wonderful day.